Operator: Greetings. And welcome to Limbach Holdings’ First Quarter 2022 Earnings. [Operator Instructions] Please note that is call is being recorded. I will now turn the conference over to our host, Jeremy Hellman of the Equity Group. Thank you. You may begin.
Jeremy Hellman: Thank you very much and good morning, everyone. Yesterday, Limbach Holdings announced its first quarter 2022 results, filed its Form 10-K for the quarter ended March 31, 2022. During this call, the company will be reviewing those results and providing an update on current market conditions. Today’s discussion may contain forward-looking statements and actual results may differ from any forecasts, projections or similar statements made during the earnings call. Listeners are reminded to review the company’s annual report on Form 10-K and quarterly reports on Form 10-Q for risk factors that may cause the actual results to differ from forward-looking statements made during the earnings call. With that, I will turn the call over to Charlie Bacon, the President and Chief Executive Officer of Limbach Holdings.
Charlie Bacon: Good morning, and welcome everyone and thanks for joining us. Joining me today is our Chief Financial Officer, Jayme Brooks and our Chief Operating Office Mike McCann Mike McCann. Matt Katz, our Executive Vice President of Acquisitions and Capital Markets had a late personal conflict and join us for the call this morning. He will be available later today. And this week if there are any follow up questions. I'll be covering our business highlights and business conditions and provide our financial guidance for 2022. Jayme and Mike will discuss our financial and operating results. I'll also provide an update on the continued integration of Jake Marshall and discuss the current acquisition environment and pipeline. We have many employees joining us for these calls. And I want to start off by thanking them. Collectively, we've worked our way through the past two COVID impacted years, while improving our operations across the board. From our strategy of moving to higher margin ODR services to improving our GCR execution, I want to recognize all of you for an incredible effort. All of this has been occurring while we uphold our, We Care core value, which led to another period of terrific sales performance. We closed down 2021 in a short fashion highlighted by solid execution which we saw us deliver our financial guidance that we provided earlier in the year. That marked two years of achieving our financial goals. All while successfully executing a transformational strategic change in our business and dealing with the impacts of the pandemic. We firmly believe that the results of the last two years confirm the validity of the strategic shift to ODR and our ability to successfully execute on that plan. Plain and simple. The ODR business has more predictable revenue, higher margins and less risk of execution. As such a business that fits this profile should trade at much higher multiples of revenue and cash flow than a GCR focused business. Quarter-to-quarter results will reflect the volatility that is characteristic to our industry. But we firmly believe that the long-term trend of moving to the owner-direct model, while improving GCR execution will continue to improve results. On our last call, we also noted that we expected 2022 to be similar to 2021 with at the side of the stronger second half and that continues to be our expectation. On guidance for the year, we currently expect revenue to be in the range of $510 million to $540 million and adjusted EBITDA to be in the range of $25 million to $29 million. Our goal is to close on at least one acquisition this year. However, this ‘22 guidance does not include the financial impact of that transaction since the timing of any acquisition within the calendar year is uncertain. Before I hand the call off to Jayme and Mike to address financial operations, I want to touch on the general economic picture impacting the business. We think the demand picture of our primary market sectors remains positive. Based on the recent FMI second quarter outlook along with the American Institute of Architects Building Index report ,what we're seeing on the ground healthcare is forecasted for steady expenditures, but there could be a shift of capital for Greenfield construction to retrofitting facilities due to rising utility costs, which should be positive for us. Datacenter expand is expected to accelerate and we are continuing to enjoy a solid relationship before the major datacenter operators. Our Boston are of operation has seen good levels of research and development facility demand from the biotech and pharmaceutical industry. We also have greater opportunities of manufacturing in the industrial sector through the acquisition of Jake Marshall. And we expect there to be a steady increase in activity alongside on-shoring of manufacturing investment. In the near term, tight supply chains appear to be driving more building owners to devote capital to maintaining the uptime of existing assets. That's positive for our ODR business, especially with our T&M work, which is small but growing part of our business, we realized a 46.8% improvement over the same quarter last year with these T&M services. We expect that trend to continue while supply chain issues delayed equipment replacements. While we've been impacted by supply chain driven equipment delays, these high margin T&M services offset some of the equipment delay impacts. As I've stated in the past, our services are essential. Humans need what we do, heat, air conditioning, water, power, and building automation that control the environments we create. We are diverse, we have built a diverse business allowing us to shift assets to where the opportunities exist from sectors to geographies. We move where the business opportunities are present. The pandemic response back in 2020, and how we executed this great proof of that. Finally, we're continue to evolve. We keep evolving the business which has supported the hard 20 plus years of operation. And right now we're indicating that through our ODR transformation, as well as the digital strategy. In the context of all these trends of how we operate the business, Limbach is well positioned and we expect to see improving operating results. With that I'll hand it Jayme.
Jayme Brooks: Thanks Charlie. Our earnings press release and our Form 10-Q contain a detailed review of our financials. With that in mind, I will focus my discussion on key areas. I’ll start with gross margins. For the first quarter ODR gross margin was 23.3% and GCR gross margin was 11.6% for a consolidated gross margin of 16%. This compared to 15.2% in Q1 of last year, and 20.1% in Q4 of 2021. As we noted on our last call, the consolidated gross margin for Q4 benefited from an ideal mix of job Cycle Timing and the positive impact from a disputed claim settlement. The GCR margin of 11.6% in Q1 increased 50 basis points year-over-year, due to generally improving execution. The GCR margin was solidly in the middle of the 11% to 12% range that we talked about on the Q4 call as being appropriate for modeling long term. The ODR gross margin will fluctuate based on mix of services provided in any given period. For example, project work is delivered at a lower gross profit percentage compared to T&M work. So the relative mix of work will impact the gross profit percentage in any given quarter. That was the case this quarter, which is why the ODR gross margin was below the long-term range of being between 25% to 28%. Our SG&A expense for the quarter was $18.7 million, first quarter SG&A was approximately level with the fourth quarter and increased $1.6 million from the prior year quarter. Similar to the fourth quarter, the high SG&A level was due to an overall normalization of operations, compared with a prior year that was impacted by COVID. In addition, we occurred a full quarter of Jake Marshall SG&A expense this quarter, as well as certain expenses related to the restructuring of several business units. During the quarter, the continued assessment of our operational expenses identified a number of areas to target for cost reduction. These include further centralization of certain services, a reduction in our real estate footprint, and an evaluation of areas where we believe we can further streamline certain corporate management services. For the full year, we expect to incur approximately $45 million of costs related to several improvement initiatives, which includes the wind down of our Southern California operation and the GCR business segment in our eastern Pennsylvania branch, as well as other non-recurring costs associated with these cost saving initiatives. These costs will be included in the add back of adjusted EBITDA and those incurred for the first quarter are in the adjusted EBITDA reconciliation table, which is found in our earnings release. A significant portion of these non-recurring expenses will run through SG&A. To cite one cost savings example, we have been assessing our real estate needs in light of flexible remote work schedules. We have focused on markets where we can reduce our footprint and are actively taking steps to right size those spaces. During the quarter, we determined the lease of our corporate office in Pittsburgh to be combined with their operational office. The total cash and non-cash termination expense for the quarter was approximately $0.8 million. But this will save us just under $0.5 million per year of lease expense going forward. These expected cost savings and the add backs to EBITDA are reflected in the guidance Charlie presented earlier. We currently have other cost reduction issues in play and expect to see further cost savings from these initiatives during the year, but will not realize a full year effect of those reductions until 2023. As such, we believe using Q1 as a quarterly run rate for SG&A should be reasonable. And there will be some fluctuation over the full year as we incur these onetime related costs to our cost reduction initiatives, as well as realizing long-term impact of those cost savings. Turning to the balance sheet and cash flow, at March 31, our balance sheet continued to be strong. We ended the quarter with cash of $18.1 million and had outstanding debt including the short term portion of $47.7 million. The senior levered ratio continued to be under two times her adjusted EBITDA. Our net underbilled position declined to $13.3 million from December 31 to $7.9 million. And we are confident that the significant reduction in our underbilled position shows that we are making progress working towards a neutral billing position. As we do so we expect working capital to be positively impacted in the long term. We consume $3 million of cash from operating activities during the first quarter, which was a dramatic improvement from the first quarter a year ago when we use $17.4 million of cash. During the first quarter, if we start with the net loss, add back primary non-cash operating activities of $4.7 million and then subtract $200,000 for capital expenditures during the quarter, the business generated $3 million of cash flow before taking working capital changes into account. As we suggested in Q4, this is a reasonable way to view cash generated from the operation of the business. Based on the projected earnings this year less capital expenditures, we expect positive cash generation from the business in 2022 before working capital changes in our debt amortization payments. I want to emphasize the nature of our business is such that working capital will fluctuate in the short term due to project timing among other things. Over time, we do expect working capital to have a modestly positive impact on the business as we shift our model to ODR work and smaller projects. I'll now pass the call to Mike.
Mike McCann: Thanks, Jayme. Good morning. Continuing with Charlie's early comments about market activity, we see two primary themes in the market. The first is short term repair work and retrofit work. Our customers are well aware of the current supply chain issues. So they know they simply can't afford to have their equipment fail. Due to that fact we've been focused on direct billing owner relationships, and we are in a good position to capitalize on this lack of optionality in our trusted relationships. Second is that our customers are starting to realize that deferred capital expenditures on building systems infrastructure that accrued during the pandemic can’t continue. At some point existing systems cannot be repaired any further it needs to be replaced. Given the overall strength and demand in the market, building owners know they're effectively in competition with each other to lock down commitments for scarce capital equipment. The net result for us is an active sales pipeline we're seeing both increased backlog from larger infrastructure projects and quick hitting revenue from repairs and maintenance. Of note, first quarter product sales were up 74.4% from last year's first quarter, which was really great to see. At March 31, ODR segment backlog was $106.9 million, up from $52.9 million a year ago, a 102% increase. Additionally, ODR backlog grew sequentially by 9.1%, which reflects a continuing focus on consistent sales activity. We think we're well positioned to deliver solid year-on-year growth in ODR revenue in 2022. For the full year, we expect to see ODR account for an increasing portion of overall revenues as we track towards our 2025 goal of a 50:50 segment revenue split. Recall that in 2021, the ODR segment contributed 28.6% of revenues, up from 22.4% in the prior year. So we feel good about the overall trend, we expect the percentage split in 2022 to be in the range of 32% to 37%. While our backlog has benefited from an active sales pipeline, I also want to note that due to supply chain delays, that backlog is taking more time than normal to convert to revenue. That is a primary driver behind our second half weighted outlook for the year. But we have the business in hand and we can see good evidence of our strategy becoming reality. Our local branches are continuing to look to maximize the return on the resources that has naturally driven them towards ODR revenue and its comparative attractive margins. There is ample demand for those small projects across many of our market segments in many of our branches. First quarter GCR segment margin was 11.6%, up from 11.1% a year ago, keeping with our emphasis that longer time periods offer the best lens with which to evaluate our business. Trailing 12-month segment gross margin is 13.2% compared with 10.5% at this time a year ago, when we merge these two themes of ODR expansion and improved GCR execution. We have confidence, we're going to continue to deliver growth and revenue and generate improved bottom line contributions. The ODR sales momentum and market demand will continue to drive the company closer rate 50:50 ODR, GCR revenue mix. Let me hand this over to Charlie for comments on our acquisition activities, and then wrap up for Q&A.
Charlie Bacon: Thanks, Mike. Let me move on to Jake Marshall and how that's going. The integration is proceeding well, and it's on schedule, which is a testament to the focus, determination of everyone involved inside both organizations. The partnership gets stronger every day and we continue to find new ways to work together as one company. We've really only just started to exploit the potential sales, marketing and operational opportunities. The Jake Marshall leadership team has also been invaluable from a perspective of offering advice on industrial markets and fabrication capabilities. So a special thanks to the team at Chattanooga, and our colleagues at Limbach. It's been a great team effort. The industrial and institutional markets continue to strengthen in the Tennessee region. As we've seen elsewhere, Jake Marshall backlog conversion to revenues experience a lot of shifts to the right, mostly on one larger project. But we're seeing quick replenishment of sales pipeline overall, and a steady growing base of bread and butter industrial maintenance activity. There's a lot of upside in those markets. And over the next several years, and we expect that we have the right team to capture it. We'd love to find a local and regional tuck-in acquisition type opportunity for both product and service providers to further expand Jake Marshall’s capabilities. And we'll see what the market has to offer. We continue to evaluate a steady stream of acquisition opportunities of locally dominant privately owned businesses. As we've said before, we're discriminating buyers and I don't think that's materially impacted opportunity set. If we're going to spend capital, we want to do it thoughtfully and with maximum impact. While we like to get more than one deal done this year from a planning perspective, ultimate target company quality will be a key determinant of our success there. As we noted earlier, we feel good about the continuing improvement and consistency of our overall execution. Our ODR transition has us well positioned to benefit from current market dynamics, as evidenced by growth in the project sales of over 74% from last year, as Mike noted. ODR backlog was up significantly from last year and improved 9.1% from Q4 of ‘21. So we are certainly feeling great that there's terrific momentum in the business. You've also heard us talk about a 50:50 segment revenue split for some time and that continues to be our goal. We're focused on organic growth efforts on the ODR model and also continuing to hunt for acquisitions that include a significant ODR components. In ODR, we continue to expect realize gross profit margins in the 25% to 28% range. Just to be clear, that range is what we expect to see over the long term. In any given quarter, we may see margins move above or below that range due to timing of our workflows. In GCR, we are emphasizing gross profit dollars from allocating resources to that segment where we have proven execution, we expect to realize GCR gross margin in the 11% to 12% range. As we continue to see ODR contribute a greater portion of our revenues with a 50:50 split it, we also expect to see an upward bias in our gross margins. As Jayme commented, we are working aggressively to achieve and maintain our SG&A right size. Over the long term, we expect SG&A to run at approximately 13% to 13.5% revenue, which reflects the combination of efficiencies and operating leverage from scaling up the business up to the 50:50 split. In terms of M&A assumptions embedded in our goals, we see plenty of opportunities available to us. From an operational perspective, we feel good about our ability to integrate anywhere from one to three acquisitions per year. As our integration of Jake Marshall demonstrates, our branch based model facilitates the bolting of acquired businesses without any disruption to any of our other operating units, while concurrently allowing for a two way exchange and best practices. One last point I'd like to reiterate, is that we're optimistic and confident about the business. Each one of us on the call here today, along with several board members and other executives made open market stock purchases early in the second quarter, and many of us did as well throughout 2021. We are firmly committed to executing our strategy and delivering on our financial growth targets. With that, we'll take your questions.
Operator: [Operator Instructions] Our first question comes from Rob Brown with Lake Street Capital.
Rob Brown: Hi, good morning. I wonder if you can comment a little further on the service shift in terms of what you're seeing as maybe some equipment delays flow through and how you're seeing that return service business ramping and how do you sort of see that playing out throughout the year-over-year?
Mike McCann: Thanks, Rob, for the question. One of the things that we've definitely seen a significant shift, I think, and especially since from an eternal perspective, we're really trying to make sure that from a capital allocation, we're allocating to the highest gross profit opportunity. And that's kind of led our business towards increasing resources to the owner-direct side, we're seeing really two different things from a market perspective is short term, quick hitting T&M work built from our maintenance base that continues to increase, at the same time from a larger project capital, spend perspective, I think with rising energy prices and inflation, it's kind of led to our strategy as well, too, because larger construction projects have taken longer, they're worried about inflationary cost, it's kind of pushed potentially those building owners to think about the capital expenditure and infrastructure projects, which has really helped us from that perspective.
Charlie Bacon: I also think you have the whole energy and utility jump and expense causing owners to seek the opportunity for energy retrofits. So Rob, we're pretty excited about that. I mean, we have the customer relationships, now we'll be able to leverage that as customers think about improvement to facility of cost reduction with utility costs finally. So we think it's an excellent opportunity for us to take advantage of that.
Rob Brown: Okay, great, thank you. And then maybe just the SG&A cost, you talked a lot about some of the efforts to improve there and get some leverage. Do you see getting leverage in the SG&A cost this year over last year? Or is that more of a 2023 trend line.
Jayme Brooks: That's going to be more long term that they are agreeing to term talking about the 13% to 13.5% as a long term range as we get closer to the 50:50 split. That will be realizing partial savings this year as we actually realize the cost savings within the full year impact, it won't be until 2023.
Charlie Bacon: Rob, it's a major focus. So I mean, we did step back over the past quarter and take a very hard look at how we're deploying SG&A. And I think we've made some great moves both in terms of some reduction in personnel at the center, as well as looking at just how we're deploying those SG&A dollars. And I'm just going to reinforce we're shifting GCR dollars over to ODR. We're just getting much better returns as our numbers demonstrate. So I think there's a very smart focus on leveraging that with a 13% to 13.5%. Long term, I'd actually referred to it as maybe midterm that we'll get there. But it's definitely actively being acted upon.
Operator: Our next question comes from Chip Moore with EF Hutton.
Chip Moore: Hi, good morning. Thanks for taking the question. Good morning. Wanted to maybe just first if you can expand a little bit on revenue visibility for the year. How do we think about handicapping some of the risks whether it is supply chain or the macro concerns that you touched on in the back half of the year, look like at least backlog coverage is something like 80%. So very good, but and leading indicators are good, but just want to handicap some of those potential risks and the back half.
Charlie Bacon: The backlog coverage for both our segments, at this point of the year are fairly strong. So we're really happy with what we see. But what I will share with you, the sales for the especially in the ODR side of the equation are really up year-on-year, and you heard those percentages of backlog about 2% year-on-year. But I'll comment, the month of April just continued to see very short sales on the ODR front, actually improved over what we saw in the first three months of the year. So it's really good to see that our strategy around ODR is taking off. So backlog right now we are sitting fairly strong. We're satisfied with where we stand today for the year, tied back to the guidance I provided, but also sales, especially on the ODR front, continue to remain extremely strong.
Chip Moore: That's helpful, Charlie, and maybe for my follow up. More so on Jake Marshall specifically, it looks like things are going very well there. I think you talked about maybe adding, looking to add some resources there. Just give us an update on the end market. I know I believe the major automotive OEM, I think, is an existing customer that's talking about building a new production site and a new battery plant in the Chattanooga area, just maybe some more end market insight from Jake Marshall.
Charlie Bacon: Yes. So Tennessee market is actually on fire right now, similar to public health markets were very, very busy. But what's happening with manufacturing center at Tennessee, we're thrilled that we did this deal. And I think the owner that sold to us is thrilled too and he's working in partnership with us. He actually attended our senior management conference recently, and offered a lot of insights on how he thinks he can help Limbach, which I thought was great to hear him say. But going back to the particular market conditions down there, first of all, Jake Marshall, is in very good shape back localize. They are exceeding our expectations for the year already. But when you take into account what's happening with Ford, the battery plants, I mean, those are multiple billions of opportunity to us, and we’ve had conversations with those customers. Right now, we're going to be very careful about labor and supply to make sure we don't oversell our capacity to deliver. But right now they're in great shape. And obviously, when you have those types of market dynamics, supply and demand curves are clearly in our favor. So you can see the improvement to margins happening into the future as that market continues to throw out so much opportunity to us. So we're very pleased with how things are going down there in the manufacturing and industrial side. We're pretty pumped up about it. And it’s not only about Tennessee, but exporting their knowledge on manufacturing and industrial mainly in our Midwest markets. There's a lot of opportunity right now in the Ohio and Michigan markets that Jake Marshall will be helping us on especially with prefabrication and modular components.
Operator: Our next question comes from Gerry Sweeney with ROTH Capital.
Gerry Sweeney: Hey, good morning, Charlie. Jayme and Mike, thanks for taking my call. I wanted to stay on the ODR topic. Obviously, it's a focus of yours but I want to see if you could give us maybe a little details or thoughts on maybe how you're going to market with that strategy and what the competitive environment looks like and how you are differentiating yourselves from some of the competition or then the final, this is a long question. I apologize and maybe even if some regions are better suited for the business today, as opposed to other areas and how you can develop those areas. So I apologize long question a lot to unpack there, but I think it's important.
Charlie Bacon: Gerry, I wrote down I think the ultimate components of that question. If I miss something, well, just ask tentatively missing point, no, but it's great.
Gerry Sweeney: Sorry, you get the chance, though, I think so.
Charlie Bacon: So, yes, absolutely. So number one, we put more feet on the street over the past number of years. And that's allowed us to go into buildings, we didn't have a presence and with new customers that were really targeted on account management, looking for those ODR relationships where it's not just one building, but multiple buildings. So that's going really, really well. Number two, a station of what I call the wallet share. So we have over 1,200, owner-direct relationships. And what we're looking to do is, what else we can do for them. So we have our traditional core service offerings. But now we're talking sort of look, there's opportunity for us to actually act as what we call NEP prime, where if there's essentially utility upgrade, you really don't need a general contractor, we can do that for you because it's minor in the nature of kind of steel or drywall, where we're more focused on mechanical, electrical, plumbing and building automation. And they love that. So we're having great success at sharing those concepts with owners and their buying in. Finally, we're also expanding products and services that we can offer the customer. So we are working aggressively on our digital transformation. We talked about this in the past, predictive analytics, digital asset management. There's a lot of different things we can provide. And I'll take one step further. We recently had a management off site. And we brainstormed. We have all these relationships. What else can we sell them? So we started talking about different things that we do today in our business extremely well. And I have put this out there something like safety. We are experts at safety in so many regards. So we're the leaders in the industry, why can't we export some of those services to a building owner that needs additional safety coverage. There's also things like program management that we started in Nashville last year, that's gone extremely well with our healthcare customers, can we start offering those program management services to other types of market sectors. So there's a host of things we're doing to expand what I call wallet share. But we're working on the street, grabbing more market share, selling a different additional products and services. So all of that's going to continue to add up to the rapid growth of the ODR segment.
Gerry Sweeney: When you talk about more feet on the street, is this a sale directly to the building manager? Or is there an opportunity to sell to building owners, especially if they own a portfolio of buildings?
Charlie Bacon: Yes, both, Gerry, it’s, we really target getting into the C-suite, if that's an option for us to work hard to figure out how we get to the key decision makers. But sometimes it's the facilities engineer. That just sort of story last night, one of our employees actually was having dinner at a restaurant in Clearwater, Florida. And they overheard at the next table, somebody talking about our company, and she couldn't help herself and get over there and have a conversation with the individual. And she introduced herself as an employee of the company. What she just overheard, turns out he was the facilities director of a major resort where we're doing some big work directly for the owner. And he was singing our praises and something, we actually circulated that email lees like to our key managers for business lessons that was just a great story. But the point I'm making here is we're working at all levels, whether it's a facilities director, or getting into the C-suite. And I made a comment a moment ago, we're looking to really latch on to customers that have multiple building facilities, not just a one off opportunity. So all of that's going to continue to roll out to rapidly grow the ODR segment.
Gerry Sweeney: Are there areas of within your sort of footprint that ODR is more better positioned for growth, and then certain other areas that maybe you have to make some investment in? Just curious, are you just seeing broad across the board type of growth?
Mike McCann: Gerry, one of the areas that we're really seeing that, and that would really a vertical market sector, we've looked at all of our local businesses and I think from a national approach that focus on healthcare, healthcare is one of the sectors and I think from one of our competitive advantages is we're able to offer our full suite of services in a connected approach. There's that multiple people showing up to sell controls or maintenance or projects. I think we look at that healthcare sector and there are a lot of other mission critical sectors that we look at as well but we're looking at those where we can offer those services, where it's mission critical, where they meet, the need is as important maybe even more important than price. And I think from even a bigger picture approach, we want to be in the facility, we want to be doing the smaller work. And when we're there, and we're connected, we have that trusted relationship. If there's a larger project that comes along, and maybe it's on the GCR sector, then we're embedded in that facility, and we can capitalize, so we're looking for mission critical, like type healthcare, vertical market sectors, and healthcare, luckily, is really a sector in all of our branches where we can offer those services and be there for the life of the building. And especially as that facility grows as well, too. We're there and we're trusted.
Gerry Sweeney: Got it, that's really helpful, especially the mission critical and pricing a secondary sort of notion on some of that business you're looking for. So I'll jump back into but I appreciate it. This has been helpful on the ODR side.
Operator: Our next question comes from Jon Old with Long Meadow Investors.
Jon Old: Good morning, everyone. Thanks for the questions. Ys. First question. For Jayme, real quick, just sort of a follow up on the expense savings. So you talked about one specific example and the lease costs. But if you're looking at going into ‘23, what do you think the total overall run rate dollar savings could be as we head into the following year?
Jayme Brooks: Yes, we haven't specifically call it with ‘23 is going to look like, it's basically from that timing of the real estate is really probably the most tricky piece to factor in because we're looking to do sub leases, or terminations to get out of some leased space. So that's why we kind of put out more the guidance of the long- term outlook for where SG&A could land when we get to that 50:50 split.
Jon Old: Okay. All right. I mean, you just mentioned $0.5 million for your leases, you don't have the total number for all the areas you're looking at.
Jayme Brooks: Yes, we're still, yes, we're working through that.
Charlie Bacon: Jon, we're actively marketing, several of our properties for either sublease, or various transactions. We did a really great job out in Southern California, Jon, with getting rid of that property. That was a really good outcome. And then the Pittsburgh move, which we just made was also terrific. I'm very, very pleased. And then the other properties that are on the market, we're seeing interest, and we're working with a group that I think has just done a terrific job at marketing the property. So that's going to help us but, Jon, just to be clear, the sale is go beyond real estate, right, that's just a very smart play. But we're looking at other aspects of cost reduction. And we got a healthy list, and we're checking them off. I'm excited about the progress.
Jon Old: Right. But your margin target is 2025. That's not before that.
Charlie Bacon: Yes. 13% to 13.5%.
Jon Old: Yes.
Charlie Bacon: Yes. We're working towards those numbers aggressively, we working in on.
Jon Old: Then, yes, and another question. I mean, I noticed I mean, obviously, the use of the revolver is in the balance sheet. The average balance for the 10-Q was virtually nothing was like 0.1. So obviously, you use it right at the end of the quarter, or is it still in place or you’ve since paid that down.
Jayme Brooks: We've since paid that down. And then also, just an item to point out too, as well on our term debt. So we have a payment that was came due for active cash flow payment, as well as we have some clear claim recovery. And per agreements, we need to pay down our term debt with that, and that was about $5.5 million that actually took place here, the end of April. And so you'll see that come down from the term debt here, but we went to post Q2, but then that's where we look to leverage our revolver so that we can borrow it back based on the revolver. So that way we are only borrowing it when we're covering off different needs of cash.
Jon Old: Yes, okay, good. And then obviously, the GCR segment is obviously declining, and that's planned. But do you see that leveling off at some point this year? Or is that just going to continue to sort of, I know, as a percentage, it's going to go down, hopefully as ODR grows rapidly. But at some point, does it organically does it sort of stop going down and stay flat or grow modestly?
Mike McCann: Jon, thanks for that. Yes, we expect that to be flat plus or minus a few basis points, I think we're really focused on getting the best return from a gross profit perspective and allocating our resources accordingly. And that may tend to drive each individual opportunity to the higher gross profit. But more or less, we're looking to be relatively flat.
Charlie Bacon: Jon, the discipline we put into the business, sales was interesting from the past couple of months, we had some interesting opportunities that we were pursuing. And we were getting what's referred to as last book, will you take it for this price. And we said absolutely, no. And I'm so happy we did that, because it's the right decision. One, our backlog is strong to begin with, we're in good shape. But we're rolling firm, we're all about creating more bottom line off the key star side. So we see the right opportunities in our markets that execute and execute well, we'll take that business on, but where we see margins low, and we just, we're going to wait, we're deployed over to ODR. It just makes perfect sense. We got to maximize the total bill, human capital assets that we have. That's the focus.
Operator: Our next question comes from George Melas with MKH Management.
George Melas: Thank you, thanks for taking my question. I have a question on ODR, you gave us sort of certain long term gross margin. So the range for the business of ‘25 through ‘28. But given the fact that the business right now is quite big, right, this quarter was $43 million. I'm very puzzled by the quarter-to-quarter fluctuation in the gross margin. I mean, at some point last year, it was 29%. Now is 23%. Can you help me understand why business of that size that has so many small project with how that much fluctuation in gross margin?
Charlie Bacon: It's sometimes it is project timing because some of the projects are larger in scale. George, so you might have a project that's moving along the larger projects, the margins are going to be smaller, just the nature of some of those deals. The majority of what we do, though, are the smaller projects that are very high margin, but it's a timing issue. So we saw the fourth quarter, right, there was terrific quarter, the first quarter, we saw some big work, going through the books. We expect to see some write-ups as network wraps up. But that happens in a future course. So the fluctuation before quarter will be there. But the general trend should be in the 25% to 28% range. And I've been saying that for quite some time.
George Melas: But was there any special payments or special cost in the past few quarters, and in this quarter that explained that fluctuation.
George Melas: No, not really. Mike, do you have any further comments on it?
Mike McCann: No, I would, just like you said it's based on project mix lifecycle, depending on, we have multiple sources of owner-direct revenue, from small projects to maintenance to larger projects all depends on the mix in a particular quarter.
Charlie Bacon: George, I know we live on a quarter-to-quarter worlds, right, we'll get that. But there's going to be some fluctuations with your quarter-to-quarter. We've been demonstrating now for several years. But the good news is the overall trend continues to show upward movement, which is just great to see that's what we had expected to see.
George Melas: So if you look at the $43 million this quarter, how many projects is that coming EPO?
Charlie Bacon: Oh, my goodness, there's hundreds of small projects. And there's some big ones in there too. But I wouldn't, it's actually hundreds because some of the projects are only $10,000, George, it's small in and out -- business.
George Melas: Right. So what would be the biggest projects that you get the work that you recognize revenue in this quarter?
Charlie Bacon: There's some work we're doing for the TDA, which are large scale projects. That's on the lower end. We have some other projects out there that are probably like $2 million to $3 million range that might be of a lower end, or still lower end, 15%, 18%, 20% that type of range. So if those projects are burning, and maybe some of the smaller projects are purchased quick that could impact, say normally down to 23% number that you just saw on our numbers, this particular period. But we do expect again, that range of 25% to 28%. That's the way people should be modeling at our business. There are no further questions at this time. I'll turn it back to management for closing remarks.
Charlie Bacon: All right. I want to thank everybody for joining us today. All of us here at the company, the board of directors, our senior management, and many of our shareholders are excited about our strategic direction and what that means for our future. We have established the proper foundation of this practices for growth in both our top line and bottom line with a continuing track record of execution, and we have a terrific trajectory. We firmly believe we are undervalued, our peers are trading at multiples more than twice our current multiple. And as we continue to execute our plan, we expect that gap to narrow. There is incredible value here and that's why a number of insiders have continued to buy our shares. We look forward to speaking to you again when we report our second quarter results in August. If you have any additional questions, please reach out to Matt Katz, who will be back on the saddle later today, or our Investor Relations for the equity group. Their contact information will be found on our investor page on our website. Again, thank you for your interest in Limbach.
Operator: Thank you. That concludes today's conference. All parties may disconnect. Have a good day.